Operator: Hello everyone and welcome to the RAVE Restaurant Inc. report Second Quarter 2019 Financial Results. [Operator Instructions]. Please note that today’s event is being recorded and with that I’d like to turn the conference over to Andrea Allen, Chief Accounting and Administrative Officer. Please go ahead.
Andrea Allen: Thank you. Good afternoon, and thank you for joining RAVE Restaurant Group’s fiscal second quarter 2019 earnings conference call. Everyone should have access to our fiscal second quarter 2019 earnings release that was published this morning The press release can be found at www.raverg.com in the Investor Relations section. Before we begin, I would like to remind everyone that part of our discussions today they will include some forward-looking statements. These forward-looking statements are not guarantees of future performance, and therefore, you should not put undue reliance on them. These statements are also subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We refer all of you to our recent SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial conditions. Please note that during today’s conference call, we will discuss certain non-GAAP financial measures, which we believe can be useful in evaluating our performance. Any discussion of such information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. A reconciliation of comparable GAAP measures is available in our earnings release. With that, I’d like to turn the call over to Scott Crane, our Chief Executive Officer.
Scott Crane: Thanks Andrea and good afternoon everyone. With our third consecutive quarter of growth in domestic comparable sales and profitability, we believe our second quarter results demonstrates that our strategic plan is firmly on track. After two challenging years, Rave is on solid footing with shored up balance sheet, improved cash position and regenerating positive cash flow from operation. Our investment new menu offerings, updated technologies and operational processes have given us confidence in our ability to continue to deliver results for our consumers, franchisees and shareholders. With the recent promotions of Bob Bafundo to President and Andrea Allen to Chief Accounting and Administrative Officer here at Rave we feel that we’ve put together a talented team to build on our recent successes. Bob has been instrumental in reinforcing our commitment to our franchise base of Pizza Inn and has already bolstered relationships with our Pie Five franchisees. And Andrea has continued to build a great team and streamline our financial process. As Pizza Inn continues to build positive sales momentum renewed optimism is being felt throughout the brand. Our franchisees are focused on delivering exceptional service and building brand equity in their market. We’ve also taken an expanded view of our new concept, Pizza Inn Express or we like to call it PIE. We now have seven units operating and we originally created the prototype of the convenience store or airport model. While we still see these as primary applications, we are looking at development opportunities with multiunit retailers domestically and internationally. We’ve identified strategic multiunit partners that are poised to deliver growth beyond our initial expectation. At Pie Five we’re seeing trends that indicate we’re turning the corner. The shift in focus to a more efficient model will take time as we had do restaurants in our pipeline. Although we anticipate additional consolidation from first generation restaurant, we are confident that Pie Five is gaining, it’s starting and continuing to gain traction. Our second quarter results demonstrate the effectiveness of our strengthened system and efforts across all three brands that bolster performance and profitability, give me confidence in our future. And with that, I’m excited to turn over to Bob Bafundo, our President to talk more about second quarter results in detail.
Bob Bafundo: Thanks Scott. For the second quarter of fiscal 2019, Pizza Inn domestic comparable store retail sales increased 2.7% compared to the same period of the prior year, while total domestic retail sales increased by 1.8%. Year-to-date, Pizza Inn comparable store retail sales are up 2.5% compared to the same period of the prior year, while total domestic retail sales are up 1.1%. Pizza Inn just completed its eighth consecutive quarter of growth in comparable store retail sales and continues to build on a positive brand momentum. We’ve locked in a strategy that is working for us, thanks to strategic initiatives that we put in place, including all-day buffet to a number of new locations, improving online ordering platform, expanding our rewards program and remodeling franchise location. After 14 months all-day buffet continues to generate traffic, especially in off-peak periods such as afternoons and late evenings. Pizza Inn’s rewards program is building membership while also improving frequency of visits and average check. We’ve seen double-digit growth in online ordering sales for over two straight years and recent investments in new technology there, should build on this trend. Many of our legacy franchisees are investing in the future of the brand by remodeling their restaurant. Since releasing our new design and décor packages last year, we’ve completed five remodels averaging 19% sales growth year-over-year and we have seven more of those in the pipeline. Due to the store – strong store average volumes and legacy franchisee development, we’re on track to deliver projected openings for Pizza Inn restaurants in fiscal 2019. We’ll be announcing new commitments and remodel plans later this quarter. Our pipeline of potential multi-unit PIE licensees is growing. This new model is opening us up to opportunities to design food service solutions that will work for licensees in their unique, non-traditional settings including travel centers, convenience stores, airports, and universities. We see endless possibilities and applications for this model. Although, we’re proud of our progress so far, we’re still in the very early stages of expanding the brand. Pie Five comparable store retail sales decreased 3.6% and 2.7%, respectively, for the three and six month periods ending December 23, 2018, compared to the same periods of the prior year. Pie Five total retail sales decreased 11.5% and 8.8% respectively for the three and six month periods ended December 23, 2018, compared to the same periods of the prior year. At Pie Five, we’re addressing restaurant-level challenges and stabilizing the system for future growth. With research showing changing consumer preferences, Pie Five is shifting towards a business model with an expanded focus on delivery, online ordering, carry-out and drive thru initiatives. Our menu mix data validates this strategy is working and led us to create the Goldilocks prototype that improves the unit economics and highlights off-premise dining options. We believe this model is a robust solution to combat rising real estate costs, labor pressures, and changing consumer demand. As expansion continues for this new model, the Pie Five system will only get stronger. New products like our 14-inch shareable pizzas and cauliflower crust, along with the online ordering and delivery continue to exceed our expectations. We have additional menu items in test including a calzone product that we anticipate rolling out during 2019. During the second quarter of fiscal 2019, the number of Pizza Inn domestic units increased by two to 148 units and international units finished at 48. There are seven PIE restaurants open at the end of the quarter. On the Pie Five side, we finished the quarter with one company-owned and 64 franchised Pie Five restaurant. And with that, I’m going to turn the call over to our Chief Accounting and Administrative Officer, Andrea Allen to discuss our financial results in further detail.
Andrea Allen: Thanks Bob. The total consolidated revenue decreased 23.9% to $3.2 million in the second quarter of fiscal 2019 compared to $4.2 million in the same period of the prior year. Year-to-date, total consolidated revenue decreased to $6.2 million compared to $9.6 million in the first half of fiscal 2018. Decreased revenues in the quarter and year-to-date were driven primarily by the year-over-year reduction in company owned units as we have shifted from owning and franchising restaurants to almost exclusively franchising restaurant. For the second quarter of fiscal 2019, the company owned one Pie Five restaurant compared to owning an average of 10 units in the second quarter of fiscal 2018. For the three- and six-month periods ended December 23, 2018 the company reported net income of $0.2 million and $0.3 million respectively compared to a loss of $0.6 million and $0.9 million for the same period of the prior year. On a fully diluted basis, net income was $0.02 per share for the second quarter and year-to-date fiscal 2019 compared to net losses of $0.04 per share and $0.07 per share for the same period of the prior year. Adjusted EBITDA improves $0.7 million and $0.5 million for the three- and six-month periods ended December 23, 2018 to $0.6 million and $1.1 million, respectively. The improvement in adjusted EBITDA was primarily due to improvement in company owned stores and savings in corporate, general and administrative expenses. The company’s cash and cash equivalents increased to $1.9 million as of December 23, 2018, a $0.5 million increase during the first six months of 2019 fiscal year. During the first six months of the fiscal year, cash provided from operating activities was $0.4 million compared to cash used of $3.5 million in the prior year as the company had discontinued its Norco Distribution Division in the quarter ended December 24, 2017, which had a reduction in cash flows from working capital in both accounts receivable and accounts payable. For the six months ending December 23, 2018 cash provided in investing activities was $0.1 million compared to $0.5 million in the prior year. We had a net of $33,000 in cash provided from financing activities in the first six months of fiscal 2019 related to proceeds from the sale of stock. This compares to $3.9 million in cash provided from financing activities in the same period of the prior year, primarily as a result of the sale of stock in connection with a shareholder rights offering that closed in September of 2017. On June 25, 2018 the company adopted ASU 2014-09 and Topic 606 using the modified retrospective transition method, results for reporting period beginning after June 25, 2018 are presented in accordance with Topic 606, while prior period amounts are not adjusted and continued to be reported in accordance with the historical accounting under Topic 605 revenue recognition. Additional detail on the adoption and fiscal 2019 impact of the new revenue recognition standard can be found in our Form 10-Q for the quarterly period ended December 23, 2018 filed with the SEC. The reduction of total shareholders’ equity through the first six months of fiscal 2019 to $5.3 million from $6.3 million at the end of fiscal 2018 was primarily the result of a cumulative effect reduction of $1.6 million to reflect the adoption of Topic 606, partially offset by net income and additional paid-in capital. As a reminder, we disclose a great deal of brand specific financial and operating performance in our earnings release, payables and in our SEC filings. This information includes brand specific comp and non-comp restaurant average unit volume and income statement, line item, details variance explanations. Our Form 10-Q was filed with the SEC earlier this morning. I’ll now turn the call back over to Scott Crane for his final remarks before we take some Q&A.
Scott Crane: Thanks, Andrea. So to wrap up, our second quarter and year-to-date results, demonstrate the capabilities of our team and what we envisioned two years ago when we began putting our strategic plan in place. Efforts to consolidate operations, separate technologies, and listen to our consumers. I would have gotten us here and we are committed and focused to continue on the path into the future. With that, and I’ll now turn the call over the operator for any questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And our first question today will be from [indiscernible]. Please, go ahead.
Unidentified Analyst: Yes. Good afternoon, team. Just first off, I’d say, you folks are turning the ship around quite artfully. It’s really impressive. Secondarily, Andrea, we spoke at the end of last year and I went back to last quarter’s conference call, looked up everything. Your explanation today was equally good. I don’t even need to go through it in terms of the long-term deferred revenues increasing as a result of the change to topic 606 in the ASU 2014-09. So thank you for that. You really got everything I was going to hit you with on the balance sheet. You’re operationally just doing great. I’m hopeful that the decline in shareholder equity is going to reverse itself. So my real question at the end of all the laudatory praise is, when do you think those effects will level off in terms of just balancing out on that shareholder equity line time-wise?
Andrea Allen: Yes, we’re continuing to drive towards the positive net income, which of course has a positive impact to our retained earnings, which over time will erode the impact of the adoption of ASC 606.
Unidentified Analyst: Okay.
Andrea Allen: So we do expect that over the coming number of quarters.
Unidentified Analyst: Okay. Finally, I’ve been doing my part, and as holder I know that – I don’t know if it’s prohibited under covenant or not, but certainly some token purchases wouldn’t hurt along the way whether they’re corporate or insiders. You need not comment, that’s just my comment. And then lastly, I just want to say that it seems to me you’re turning this very big stodgy cruise liner from the late 50s into a fleet of PT boats and destroyers with all the new tools, whether it’s the Goldilocks model on the one hand, the kiosk airport on the other with the PIE express. I’m really – it’s terrific to watch the turnaround. So thank you very much guys. Keep up the good work.
Operator: [Operator Instructions] At this time, I’m not showing any more questions. This will conclude today’s question-and-answer session as well as today’s conference. We do want to thank everyone for attending today’s presentation. At this time, you may now disconnect.